Operator: Good day and welcome to Intevac's First-Quarter 2022 Financial Results Conference Call. A brief question-and-answer session will follow the formal presentation.[Operator Instructions] As a reminder, this conference is being recorded. Please note that this conference is being recorded today, May 9th, 2022. At this time, I would like to turn the call over to Claire McAdams, Investor Relations for Intevac. Please, go ahead.
Claire McAdams: Thank you, Devin (ph). And good afternoon, everyone. Thank you for joining us today to discuss Intevac's financial results for the first quarter of 2022, which ended on April second. In addition to discussing the company's recent results, we will discuss our outlook looking forward. Joining me on today's call are Nigel Hunton, President and Chief Executive Officer, and Jim Moniz, Chief Financial Officer. Nigel will begin with his prepared remarks and then Jim will review our financial results before turning the call over to Q&A. I'd like to remind everyone that today's conference call contains certain forward-looking statements, including but not limited to statements regarding financial results for the company's most recently completed fiscal quarter, which remains subject to adjustment in connection with the preparation of our Form 10-Q as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly report on Form 10-Q. The contents of this May 9th call include time-sensitive forward-looking statements that represent our projections as of today, we undertake no obligation to update the forward-looking statements made during this conference call. I'll now turn the call over to Nigel.
Nigel Hunton: Thanks, Claire, and good afternoon. Thank you for joining us today and hearing more about the new Intevac. It's now been just over a 100 days since I started with Intevac, and has been a very exciting and productive period of time for both me and the company. We have eliminated a lot of top management, consolidated our development efforts, and stocked programs that wouldn't deliver a positive return. I've started to develop the new management team, I've traveled to Singapore and I've met with our employees, major customers, and suppliers. So a busy and very active start to the year. We've also announced record bookings in our core HDD business, and identified how to focus our growth initiatives to expand our business beyond the HDD market areas. I will get into all of these in a moment, but first, let me quickly recap on our financial results for the quarter which came in as expected. We had some upside in HDD upgrade business, resulting in total revenues of $4.4 million. Our non-GAAP results excluded $2.7 million of restructuring related costs, including severance and disposal to fixed assets, and resulting in non-GAAP loss with $0.20 per share, so better than forecast. The primary highlights of the quarter center on orders and backlog, both of which achieved new 12-year record highs. New orders in the quarter totaled $67 million, which enabled us to grow backlog to over $87 million as of quarter-end. The $87 million of backlog includes nearly $60 million of 200 Lean systems. One 200 Lean will ship in Q4 this year, and the systems ordered at the end of Q1 will ship over multiple quarters beginning in May 2023.  The remaining $27 million in backlog at the end of Q1 consists of HDD upgrades, spares, and field service. And given this month's significant new order, we also expect reported sequential increase in backlog for the end of Q2. In February, we announced some multi refurbishment and upgrade agreement with a major data storage company being deployed on the 200 Lean platform rather than on the incumbent equipment suppliers platform. Valued at over $20 million, orders released in this program will be added to backlog on a system-by-system basis over the 2022 to 2024 time frame. At the end of Q1, less than $5 million of the $20 million agreement was in backlog. But since November of last year, we have now announced four orders and agreements that firmly established our 200 Lean system as a platform of choice for the entire industry's media capacity expansion plans being put into place for the next few years. To recap, November's announcement mark the very beginning of new 200 Lean capacity orders. February's announcements highlight the major agreement with a leading [Indiscernible] storage company to add capacity. The $54 million order received at the end of Q1 was the largest 200 Lean system order received since early 2010. And finally, our most recent press release includes an additional $11 million of 200 Lean system orders. As I mentioned in the last call, I'm happy to confirm we expect HDD revenue in 2022 will be similar to last year at around $35 million. Importantly, we already have the backlog in place in support of the $65 million to $70 million a year in 2023, giving us confidence for the future. The key in 2023 will be achieving profitability and positive cash flow generation at this revenue level. Which brings me back to our priorities. First, assessing our growth potential in each of our end markets, which entails strengthening relationships with each of our key customers both existing and prospective. I'm pleased to say that through out my visit to Singapore, I met with our employees, suppliers, and customers, ensuring that in my first 90 days, as promised, I met with all key existing and prospective customers in the USA and Singapore. A great start positioning Intevac as a customer-driven organization, and more importantly, understanding the potential future business opportunities. Next, I've worked internally on streamlining the cost structure and to align resources with our revenue growth prospects. In the first quarter of 2022, we made significant progress in support of our new business model with a focus on our core HDD media business, and have a vastly more tangent approach at pursuing any equipment growth opportunities outside of our core HDD market. As I mentioned earlier, we're also investing in the new management team to leverage the strengths of each person supported by a focused leadership development program that can propel the company forward. We will still maintain an emphasis on cost control and managing our cash while selectively adding capabilities to support future growth. And third, positioning the company for a return to profitability as soon as possible while preserving the strength of the balance sheets. With prudent control of working capital in the quarter, we were able to limit the decline in our cash balance to solely transaction-related costs related to the sale of the Photonics business, which were about $4 million. We ended Q1 with a total of a $117 million of total cash and investments. A great achievement by the management team. We effectively eliminated an entire layer of executive management, as we significantly simplified our operating structure. We now have a strong foundation for growth and profitability in our core HDD Media business. We redeployed investments into our supply chain, and made targeted R&D investments in support of our additional growth initiatives, enabling us to move forward with a customer-focused structure in support of our most significant prospects, for revenue growth and profitability. Our sole activities outside of our core HDD media business today are focused on very specific applications. While we believe into that offers a compelling and differentiated solution at the right prize to disrupt the market in pursuit of what could become large revenue opportunities. We believe these assented on our unique capability to provide cost-effective, optically clear ballistic coatings. Our new tool approach that addresses these specific market needs is the Trio, which is a brand new concept, and importantly a very cost-effective machine based on recent feedback from our perspective customers. The Trio also leverages our 200 Lean expertise in producing advanced films at high productivity on a small substrate platform. We are pursuing strategic partnerships from several companies that I have approached since I began as CEO, in order to validate this growth opportunity for Intevac, and we look forward to providing you with updates on our progress each quarter. This customer-focused approach is enabling the company to move forward with a clear vision, and we have stopped the initiatives that no longer fit with our revamped strategy. We believe the combination of Intevac's ballistic coating and the Trio technology provides scratch resistant protection and enhanced durability for multiple applications due to it's superior hardness, strength, service adhesion, and thin-film properties when compared to existing technologies and with improved optical transmission. Before turning the call to Jim, I'll provide a few more comments around what we see in our core HDD media market. The headlines are rife for debate over signs of near-term pockets of softening demand, the trajectory of mass capacity drive growth for data-centers, the impact of supply chain challenges, and much more. These are bound to result in increased volatility and speculation around the particular dynamics of the HDD markets. There are a few trends in the industry, however, which drive Intevac's HDD media business that are worth highlighting. First, while overall, HDD units are in decline, HDD media returned to being a growth industry in 2020 and is expected to remain a growth industry for the foreseeable future. Second, media unit growth is being driven by near-line demand for max capacity drives, which contain as many as eight to ten discs age. This growth in data-center storage days, which is estimated at upward of 35% annually, cannot be fully served by the Solar [Indiscernible] market. And in fact, expectations for exabytes stripped on SSDs over the next five years still a small fraction of those being shipped on hard drives. The 7:1 cost advantage of HDD in terms of prosper bit has not narrowed and is not expected to narrow meaningfully in the coming years. Third, the industry is effectively maxed out. This current media capacity and the leading drive manufacturers are working with Intevac to add capacity solely on the 200 Lean platform. So while near-term fluctuations, supply chain challenges, and volatility of the hard drive market are certainly making headlines. The growth foundation for our core media business is firmly established, and the visibility and backlog we have today provide the competence for future revenues, and in combination with our restructuring program, plus order secure for volume shipments, we're on track for a return to profitability by mid-2023. Lastly, I look forward to continue working with our customers, our suppliers, our stockholders, our board, the management team, and the entire organization as we build a new Intevac. That completes my prepared remarks. And with that, I will now turn the call over to Jim.
Jim Moniz: Thank you, Nigel. Turning to the first quarter results. Consolidated first quarter revenues totaled $4.4 million. Above our guidance of $4 million and consisted of HDD upgrades, spares, and service. Q1 gross margin was 16.3%, below our guidance of 25% due to inventory reserves of $755,000 mainly attributed to reserve in our engineering solar inventory and older generations of our Display Cover Panel inventory, where we will no longer focus our efforts. Without these reserves, gross margin would have been 32% above guidance. Q1 R&D and SG&A expenses were $8.4 million, which included $1.5 million charge to dispose of certain lab equipment, as well as $1.2 million in severance, which was largely offset by stock grant for pitchers in the quarter. Net of these adjustments, operating expenses would have been just below our guidance of $7 million. The Q1 net loss was $7.9 million or $0.32 per share. The non-GAAP net loss was $5 million or $0.20 per share and excludes the impact of restructuring charges and discontinued operations from the Photonics division. Our backlog was $87 million at quarter-end, reflecting the $67 million of new orders booked in the quarter. Post-quarter close, we announced an additional $11 million of systems orders, which builds backlog for the current quarter. We ended the quarter with cash and investments, including restricted cash of $117 million, equivalent to $4.71 per share based on $24.9 million shares at quarter-end. The net decrease in cash from year-end 2021 was limited to the transaction costs related to the sale of the Photonics business as cash flow used by operations was $4.1 million during the quarter. Q1 capital expenditures were $618,000 and depreciation and amortization were $445,000 for the quarter.  Now moving to Q2, 2022 guidance. We are projecting consolidated revenues to be in the range of $8 million to $8.5 million. Reflecting a higher level of HDD upgrades, spares, and fuel service revenue than we reported in Q1. For the first half of 2022, this represents about a 20% increase in the HDD business versus what we reported in the first half of 2021.Given the higher Q2 revenues and favorable mix of upgrades, we expect second quarter gross margins to be around 45%. Q2 operating expenses are expected to be around $6.7 million to $7 million. We expect interest income of around $20,000 and GAAP tax expense of around $500,000 in the quarter. Most of the tax expense will be non-cash. We are projecting a net loss in the range of $0.13 to $0.15 per share based on 25 million shares outstanding. For the full year, as Nigel mentioned, we continue to expect hard drive revenues will be similar to last year at around $35 million. This includes one 200 Lean system and therefore a slightly lower mix of upgrades. Given the timing of deliveries during the year, we expect over 60% of 2022 revenue will be recognized in the second half. At this revenue level and expected mix, we anticipate gross margins for the year will be in the high 30s. We expect ongoing cash-based operating expenses will decrease compared to last year. Finally, we expect to end fiscal 2022 with a total balance of cash, cash equivalents, and investments of at least $115 million. That completes the formal part of our presentation. Devin, we are ready for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] One moment, please, while we poll for questions. Our first question comes from the line of Mark Miller with the Benchmark Company, please proceed with your question.
Mark MIller: Congratulations on your cash management and also your orders. So that's good news. Just wondering in terms of supply chain issues, how much of a headwind has that been for you?
NIgel Hunton: Just -- the supply chain is, as everyone knows, is extended up and extended out. And if I look for 2022, we placed significant orders for inventory, we placed orders for the demand that was coming in. So from a confidence level for 2022, we've got a pretty high confidence level of the numbers we've committed to at $35 million are achievable, and we can manage that within the supply-chain constraints around. So I think the team are doing a very good job around that. And I guess as we mentioned on the call, the big challenge release around 2023, I think we are confident around the level of 65 to 70, I think supply chain -- if the supply chain opens up and deliveries come in, potential upside on that, but I think being conservative at the moment, based on the supply chain dates we have, we're pretty confident around the 2023 number as well. But it is challenging if you're trying to push for additional revenue and actually drive high volumes
Mark MIller: In terms -- you took on a number of inventory reserves hits last quarter, which impacted margins. Are we done with this in the future quarters? Has the inventory been cleaned up?
Jim Moniz: Yeah, Mark, as far as we're concerned, we are done with this. We took a big hit as you know, in a lot of the fixed -- finished goods in Q4, and then we did a more thorough look at some of the stock room inventory and took that last hit in Q1. We believe we're done with any major hits. Yes, we are.
Mark MIller: And then one 200 Lean is expected to ship the share. You mentioned this. Is that going to be in the third quarter?
Jim Moniz: No, that will be in the fourth quarter as originally scheduled.
Mark MIller: Thank you.
Jim Moniz: Thank you, Mark.
Operator: Thank you. Our next question comes from the line of Peter Wright with Intro-act. Please proceed with your question.
Peter Wright: Great. Thank you for taking my question. Congratulations Nigel on amazing first 100 days. But, my first question is understanding the backlog. It is 87 million. Does that mean there's about 13 million of upgrades embedded in that if I'm backing out your 20 million refurb in your 54 system?
Jim Moniz: Yes. That's a good number of, Peter.
Peter Wright: And so if I add the 11, you're just probably right around the 100 million backlog active ish today. My -- my question is not on the precision of that, but if I look into the second half of this year, what is the opportunity to sell incremental business in 2023, and what would it come from? Would it come from the same customers that are in backlog today or would it come from new customers?
NIgel Hunton: So I think we talked about it, so the sore 65 to 70 range we've given is HDD business around existing customers. And that was a number we feel pretty confident that makes connection revenue in the year. I mean, if the supply trend opened up, that could be upside, but I think realistically, we have to shoot in the supply chain constraints are going to be around for the next, I think two to three years, being realistic, some components have gone extending out. So two-year lead time. So you have to make sure that we have put in a number that we know we're confident that will actually revenue in the year.
Peter Wright: If you were to look at those orders, do you think that they've reflects kind of the best and full demand from those customers or for a period of time are you starting to get visibility on the other side of kind of the bid 23 deliveries?
NIgel Hunton: I think the other thing we've mentioned Mark to as well, so they the one of the upgrade orders which was $20 million, we've got less than $5 million of that already taken as order. So there will be additional orders coming through for that as well. So we see that the older book because we roughly say is just under the $100 million today, and with confidence that there will be some more upgrades in these coming through. But for new Lean sort of systems, I don't expect any significant orders coming through this year beyond that.
Peter Wright: And very last question is just the gross margin assumption. If you look at the 23 number with the system mix in there, any thoughts on where the margin would be and then is OpEx kind of most of the heavy lifting is behind you at this point and kind of the 67 to 7 a share quarter is doable number as sales ramp as an offset to the cost cuts as well.
Jim Moniz: The first question, I would expect margins next year to be low 40s, 40 to 45 depending on the mix in any given quarter, but certainly in the below 40s. Your observation about OpEx, I think is a good observation. Keep in mind that included in this year is -- our run rate is going to be around $7 million, we're not giving guidance beyond that, we still think there could be some room second half of the year to look at that. And then could I just ask for clarification on your first question, again? Because I think you gave a number like $11 million or $13 million for upgrades in backlog?
Peter Wright: Correct. Is that -- and there's another system in there. I got it. So $13 million, how does that breakdown of upgrades versus non - 200 Lean systems?
Jim Moniz: I think that number's low because I don't know -- the systems refurbishments that we talked about, those are actually going to be an upgrade. And so if you look at the $87 million in backlog at the end of Q1, there's probably closer to around $28 million that's upgrades, field service, and spares.
Peter Wright: How far out does that go?
Jim Moniz: That goes out to -- covers that, as Nigel said, it covers most of 2023, but we still have somewhere around maybe $3 million or $4 million that we're booking in Q2 and Q3 that will result in turns business in the year. And we did talk about -- there's -- like I said, there's about $27 million of the backlog was the non-systems backlog part of the $87 million.
NIgel Hunton: And it's probably worth reiterating the comment I made on the last call as well, where we felt that $35 million was the right for this year, 65 next year, but that over the four years that a 200 number was absolutely achievable. As I touched on I've visited existing customers, we look to prospective customers and other businesses, and that's given me a level of confidence we've said in the prepared remarks, that we're confident about the demand now, and the feedback that gives us the visibility that says that that number is still a good number.
Peter Wright: $400 million, and just to clarify, that includes 2022?
NIgel Hunton: The $200 million is 2022, '3, '24, '25, it's been over four years. And remember on the last call I said it really wasn't realistic to say that would be delivered in three years, but four years our growth is really confident, and I said there's a touchstone, we visited the customers, we're focusing very much on the customer focus, and that's an important part of the new strategy about being much more understanding of the customer requirements. And that's not just about the future technologies, but about the existing HDD business and getting much closer to our customers.
Peter Wright: Great, very last question. What about the strategic review? Is that now over at this point with the restructurings that you did or is that ongoing?
NIgel Hunton: So we're talking about the strategic review with Greenhill. Presumably you're talking about that?
Peter Wright: Yes.
NIgel Hunton: So that engagement continues, we will always and regular accessing our strategic opportunities and how absolutely. How do we increase stockholder shareholder value? And we believe the Photonics was step one on that process. But we're still focusing very much on what is the real opportunities so we can turn the new Intevac into? And I've said It's key for me to spoke -- make sure we actually putting the R&D and the right focus on the potential future opportunities. That's why we focus very much around this ballistic coating. And the opportunity for the Solar scratch resistance technologies and leveraging our strengths. And I believe the customers are broken and talk to already in the first 100 days. We have an opportunity there, and it's going to take -- we've worked very hard to get that first 30 tool up and running. The key now is to keep everyone updated on each of the subsequent calls, how those developments go, and how the feedback comes from the customers. And that for me is an opportunity to us to grow and develop and maintain our own focus independently and build a stronger Intevac in the future. But that doesn't stop me from maintaining the sort of dialogue and engage with Greenhill.
Peter Wright: Great. Thank you for answering my questions, and congratulations, again, on especially this market, doing what you've done in the last 100 days.
Jim Moniz: Thank you, Peter.
Operator: Thank you. There are no further questions at this time. I'd like to turn the floor back over to Nigel for his closing remarks.
Nigel Hunton: Thank you. As I look at where we are today compared to a 100 days ago, I feel we've made tremendous progress creating a new Intevac. We believe Intevac is a sound investment, and I'm eager to meet with as many interested investors as possible in over the coming months, and that was what -- what's highlight of our upcoming investor event, including the virtual ideas conference on the -- June the 23rd, and the face-to-face with the CEO Summit in San Francisco on July the 13th. So please, if anyone wants to talk to me face-to-face, please reach out to Claire directly and follow up with her, and then we can meet with you. And we'll also be updating a new investor slide deck to our IR website within the next week. So I invite you to also check back and download that. And with that, I'll say thanks again for joining the call, appreciate your support for Intevac, and with that, I'll conclude today's call. So thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.